Operator: Welcome to Shaw Communications’ Fiscal 2010 Fourth Quarter Conference Call. Today’s call will be hosted by Mr. Jim Shaw, Vice Chair and CEO of Shaw Communications. At this time, all participants are in a listen-only mode. Following the presentation there will be a question-and-answer session. (Operator Instructions). If the press has any question, please contact Mr. Shaw’s office after the call. Before we begin, management would like to remind listeners that comments made during today’s call will include forward-looking information and there are risks that actual results could differ materially. Please refer to the company’s publicly filed documents for more details on assumptions and risks. Mr. Shaw, I will now turn the call over to you.
Jim Shaw: Thank you, operator, and thanks for everyone joining us today. I apologize that we’re having this on a Friday, so we usually like to try to have it on a Thursday, so I’ll say that right up ahead. With me today are members of our top notch management team, including Peter Bissonnette, President; Brad Shaw, Executive Vice President, soon to be CEO; Steve Wilson, Chief Financial Officer; Mike D`Avella, Senior Vice President of Planning; Jean Brazeau, Senior Vice President of Regulatory; Jay Mehr, Group Vice President of Cable Operations; Paul Robertson, Group Vice President, Shaw Media; and Jim Cummins, Group Vice President of Shaw Satellite Operations. I will keep my comments short as you have already reviewed our results, which were released earlier this morning. 2010 was an exciting year for our company. We declared our intentions regarding wireless and to date have spent a $100 million related to design and construction of our core network. Upon CRTC approval, which is expected later today, we will be acquiring the broadcasting assets of Canwest, including global networks and a portfolio of some 21 specialty channels such as HGTV and The Food Network. We expect to close this transaction by the end of the month. Looking forward to fiscal 2011, we expect continued growth in our core business overall for satellites, cables, and we expect robust free cash flow growth to approximately $550 million. These figures do not include the new media assets which will immediately be accretive to free cash flow. We also continue to invest in our wireless network in advance of our scheduled launch and we’ve planned to spend an additional $200 million in 2011 on this strategic initiative. Before taking questions, I wanted to address the recent leadership changes that were announced this morning. I have had the pleasure of working in Shaw for the last 28 years and leading the organization as CEO for the last 12 years. It has been an unbelievable experience. I am proud of our successes of the management team we have assembled, JR and myself, and confirmed by the Board felt that it was time for a new leader to the take the reigns, and we all felt that Brad was the right person for the job. Brad has been with the company for over 20 years. And for the last several years has played an increasingly important role in the leadership and strategic direction of our company. I am confident he will continue to move the business forward. I wish him all the success as the new CEO effective at the Annual Meeting coming up. I mean, I hear there’s lots of rumors out there, we’re doing this because Jim is sick and that. We’re not doing that. We’re actually doing it because we’re going to expand the management teams. So as I remain on as Vice Chair, JR as Chair still, Brad coming in as CEO, Peter there to support, and the strong team we have around the table here with all the people I have mentioned here before that there is no problem. But Shaw plans for success and it works at it. I think that as a company, we tend to deliver it. So, after that, Brad.
Brad Shaw: Thanks Jim. We are excited about the future of our company in this dynamic environment. Our core business continues to be resilient in the phase of heightened competition and continues to generate significant amounts of free cash flow. We believe our ownership of content and our entry into the wireless market will grow and strengthen our portfolio of assets. We also position us to deal with and respond to the competitive realities of our marketplace and the evolving consumer and technology trends that are impacting our industry. And just before we turn over to questions, from this team around here and Jim mentioned about the strength of our team and how we manage as a collaborative approach and as a team approach and the team is expanding, Jim will be here, JR will be here. We have a solid foundation for this company to grow and we are committed to continuing on and building in that process and what we built up on to date. So we will be happy to turn it over to questions, operator.
Operator: Thank you. (Operator Instructions). Please standby for your first question. Your first question comes from Peter MacDonald of GMP Securities. Please go ahead.
Peter MacDonald: Thanks. Jim can you just talk about what the nature of your new role will be if you’ll include any duties in your Vice Chair role or are you stepping back? Was there anything specific that led you to decide to make the change?
Jim Shaw: Okay. Well, I guess, we’ve been talking about this for pretty well just about the time that we started really getting serious about Canwest. And we said that we’re – the rules are getting redefined a little bit, but certainly I’m here to work with Brad, and certainly there’s a lot of strategic stuff that I’m going to do, I’ll probably be involved with regulatory a little bit, I’m sure I’m going to be involved in finance and some of those kind of things. But I think that when we looked at it, I was 38 when I became the CEO. And Brad’s what 47?
Steve Wilson: 48.
Brad Shaw: 46, Jim.
Jim Shaw: 46, so he is 46. So – and I just think that given what we’ve got in front of us that is a good time to put more legs under the weight of the load, because the load is pretty big you know. And so I think that we still have the strong management team, I think that me staying around is good, and JR around is good. Even though you know as Chairman, it will probably a while. It’s probably not a long time, because he is 77 or 76 or I can’t even remember his age either. So, but – so I think we’re just trying to move our success in a long and show the market like how solid we are as a team and how we think you should build a public company going forward, and how we think we can bring more value by doing that, and it doesn’t mean I won’t get to look at the financials, it doesn’t mean I can’t get involved, and actually just so Brad does it, you don’t say this to Brad, he still reports to me. So basically kind of the team is changing a little bit. And as we’re bringing on new guys to kind of support it, I think it’s a really, really right time to make the move. Now could I’ve stayed another three years or four years and five years, yes is the answer. But still, I’m still not gone. So it’s a good time to, I call Peter and I, were calling ourselves I – my name is Jim Shepherd and Peter’s name is Peter Shepherd. And we’re just here to help the company and help Brad and the team, and we’ll do that.
Peter MacDonald: Okay. Thank you and congratulations to both of you.
Jim Shaw: Okay.
Operator: Thank you. Your next question comes from Bob Beck of CIBC. Please go ahead.
Bob Beck: Thanks, good afternoon. I guess for Brad and perhaps Jim just on the heightened competition you talked about – these are cable questions primarily – can you talk a bit about the landscape. I mean you’ve got a resurgent or at least say a more advanced offering from your competitor Telus, are you seeing some pressure from MTS as far as – as a more compelling offering. Can you talk just anecdotally how the coverage geographically of some of these new advanced Telco offerings have lined up against you and how you dealt with it? It appears there’s some pretty – anecdotally there’s some pretty aggressive price pressure in the market, and so your thoughts on pricing in this as the competition eats up. And then, I have a second question on program.
Brad Shaw: Okay, Bob, I’ll start and maybe Jay would chime in. But there’s no doubt that – well the activity, the competitive activity has very much increased as we know Telus has a big footprints for their Microsoft Media Room. We see promotional activity certainly increasing and certainly on a volume basis. But we also believe that like anything you have promotional activity that comes in and out of the market. We believe that there is – we have pricing power still in the market. And we’ve recently put in rate increase that is a combination of basic and Internet, but I can’t figure quite – it all amounts to the bottom line, just because of free packaging and stuff doesn’t quite equate to that. But we still feel comfortable with that. Yes, and we believe that with another competitor in the market there is an opportunity to be prudent. And, listen, we all like to compete, but it’s a balance of competing, growing, and also returning on the finances side. Jay?
Jay Mehr: Yes, and just to amplify Brad’s comment. I mean, certainly, there’s lots of competitive activity in the marketplace. Today, in the middle of October, the marketplace is certainly less active than it was in the spring, promotional pricing is simply less than 10. And we’re – we’re committed to competing on a differentiated customer experience and it certainly seems like our primary competitor is headed in the same direction. So we see a shift in the business as it evolves to a more matured competitor environment around providing value and choice for our customers, long-term value and choice, and probably less of a role for short-term promotions in that package.
Brad Shaw: Yes, and I think just to add to that from a guidance point of view, we’ve certainly factored in those promotional discounts going forward, so we’re quite comfortable with what we’re looking ahead.
Bob Beck: Yes, that’s great. Thanks. You’ve also talked in your guidance about programming costs increases, any color as far as what kind of numbers we’re looking at on the programming side?
Brad Shaw: Well, certainly the costs have been increasing, and we still see them with the cost increasing as we know PSN is soon to becoming towards with the rate increase. An actual dollar amount, I can’t quite give you this renegotiated Sports Net and Sports Net 1 all in one deal for five years. And, Mike, I don’t know if you want to add anything to that. But certainly cost and pressure increasing in sports we know that, we see the US and experience down there and we’re doing the things that we need to do to make sure we’re trying to balance all of that.
Bob Beck: Okay, thanks. Just a clarification question or just a question for Steve I guess on taxes, you talked about the cash tax going up. Any rough guidance on an overall tax rate? And I know Canwest hasn't closed, but is there any tax implications of taking on the Canwest assets?
Steve Wilson: No, not that are a lot different from what we would expect ourselves. This year, our cash tax – expected cash tax rate was just a little bit over 29%. And for next year, we see it maybe slightly little bit lower than that. And then on the Canwest side, I think it will be roughly the same.
Bob Beck: Okay, that’s helpful. Thanks very much. I’ll leave it there.
Operator: Thank you. Your next question comes from Tim Casey of BMO. Please go ahead.
Tim Casey: Thanks. I just wanted to once again revisit the competitive activity. I mean your growth rate slowed considerably through the year and you have guided lower next year, what confidence do you have that you can maintain that given what has happened over the last year? And then the second question would be, will you be issuing any financial metrics after the Canwest approval, assuming it’s approved this evening, will we get another press release regarding metrics there, or will you address that down the road? Thanks.
Brad Shaw: Well, Tim just to talk about the competitive activity, it’s – there’s – it’s hot and heavy out there. We believe there is as we heard from Telus last week that there’s opportunities to ensure that we continue to compete, we continue to make sure that there’s a balanced approach to the market. But it’s something, if you look at Q3 to Q4 over the year, there’s special activities. And when you look at, for example the on-demand, we get portion from events, portion from movies. And when we look at Q3 to Q4, we had a lot less activity in Q4 than Q3, not to say we weren’t under pressure and revenues has certainly declined somewhat. But when we look at $5 million or $6 million over a $1.7 billion, it’s really not something that we feel is material. And, but, we’re prepared to compete, we believe we have value in our services, we believe we create a great customer experience, we’re committed to engaging our customers and ensuring that we do everything we can for every conversation we have, to every house we visit, we visit a million homes a year. And every time we can make sure we’re connect with that customer and anything we could do, it just makes you a better experience and makes them one of your best. And we all have the technology, we all have the money, we all have the commitment, so it’s a matter of we are going to win that game everyday.
Jay Mehr: What about that event day, perhaps pay-per-view and –
Brad Shaw: Yes, that’s – and those events, USC and a couple of boxing events, that can easily add up to $5 million or $7 million in the quarter.
Steve Wilson: So to be very specific on that, because there seems to be an over concern on Q4, the on-demand portion really represents the revenue decrease alone, Jay has already talked about promotion. And the fact that promotions were – we were much more active in promotion in the third and fourth quarter. And since then, the promotional activity has gotten less rich and less active. And so, a lot of what we’re seeing there is a one-quarter thing. And as Brad said it’s a small number, a small $10 million number over $1.7 billion of revenues. So those are some of the specifics related to Q4. I think one of the main things here to look forward to us is that the guidance is generally ahead of what was expected in the market. And so, we’ve factored the promotional activity and there might be some extraneous additional stuff that we’re not seeing today. But based on the discipline in the market, we’re fairly confident with that guidance and it’s guidance I think from an EBITDA perspective that people – it’s better than most people have expected, and from a free cash flow side as well it’s very good. Tim, your second question with regard to the financials for Canwest, we’re not in a position today to actually release the Canwest financials, because they still have a Board until closing and they still have fiduciary obligations. We will have a small comment later on today if we issue a press release on the CRTC in this regard with regard to the multiple. And what our plan would be is to discuss that further in Q1 and at that time we can provide some guidance as well.
Tim Casey: Thank you.
Operator: Thank you. Your next question comes from Jeff Fan of Scotia Capital. Please go ahead.
Jeff Fan: Thanks very much and thanks for taking my question. My question is for Brad. With you taking on the leadership role, I was wondering if you can spend a little bit of time and just maybe outline some of your key focus areas as you take on the CEO job? And then, secondly specifically on the wireless front, wondering if you can provide us a little bit more details now on the plans for 2011, what you’re spending on with respect to the $200 million rollout, maybe your choice on technology, et cetera?
Brad Shaw: Sure. I’d be happy to. Jeff, just to talk about little bit my background and probably a little bit, I started an industry and started answering telephone calls of customers and worked through the customer service side. And it’s so important to immediate build relationship and the relationship – we don’t have – I don’t have all the answers, but certainly around this table we do. And for me it’s key to make sure we have the strongest relationship. Not only within this team, but it’s within the company and beyond that. So for me it’s – we know what we need to do. I think what Jim has set us up here has been absolutely perfect where we continue to take it. Many challenges in progress we’ve realized that. But with the strong team around here and what we’ve been able to show and prove is just a matter of us continuing that. So for me it’s continuing to build those relationships not only within Shaw but outside of Shaw and ensuring that together with the Board’s direction and working with Jim and JR and Peter and the whole team here, we’re going to continuing to be on the top of our game. We’re going to continue to make the decisions in investments to compete, to return dividends to our shareholders, ensure that we’re not going to vain off, because we’re – the real focus of this team executing day-in, day-out in everything we do and I think that’s continuing proven quarter-over-quarter. So I’m in kind of day one here and we have nice processes as we work towards the ADN, we’re working with Jim and beyond that, and ensuring that we’re covering the bases that we need to. So we have a good plan, we’ve talked about it for a while, and so we know where we’re going to go, we know what we’re going to do, and I’m comfortable in that regard. With regards to wireless, we’re looking – I can’t really tell you exactly what we’re going to do because there’s a lot of other people listening on the line. We’re accelerating retail, we’re accelerating tower bills, we’re working on building out the markets, and I can’t give you anymore information than that, because we’re certainly in a very competitive environment. But we’re on track and we were excited about some of the opportunities we’re seeing from to that core and there is success out there, so we’re looking forward to the opportunity to compete in the wireless sector.
Jeff Fan: And maybe just one quick follow-on with respect to wireless. You interested in your thoughts on whether this is purely a go-alone type venture or this is something that perhaps comes from a partnership with another player makes sense for you guys?
Brad Shaw: On a build out or NBNO or –
Jeff Fan: On the build – more on the build out, on the infrastructure side.
Brad Shaw: I think we’re always look at opportunities to share costs if it make sense and does it fit and does it fit into our strategy and what’s the endgame and how does it all look. So I think we’re always open to discussions with anyone.
Jeff Fan: Okay, thank you.
Operator: Thank you. Your next question comes from Vince Valentini of TD Newcrest. Please go ahead.
Vince Valentini: Yes, thanks very much. Couple of questions; first, just a segue on the wireless. I know you don’t want to give away too much. But can you give us any sense of how far the $200 million takes you? Like would that be two-thirds or sell through your CapEx build for your territory or is that still the tip of the iceberg? I’m just wondering if you can give us any sense looking into 2012 I guess is how much more there would still be to spend?
Mike D`Avella: Vince, it’s Michael D’Avella. I mean the $200 million is a substantial number and it does give us a fairly substantial build, and clearly we’re going to have to spend more as time goes on. But it’s a – it’s a big chunk. There’s no question about it. And we’ve bought our core network as Brad has mentioned and we’re building the infrastructure, which is obviously the key component in terms of offering wide services.
Vince Valentini: Okay, fair enough. And the second one, maybe one for Steve, just the free cash flow break down. If you take the $550 million, about $300 million for the current dividend and then take $200 off for the wireless CapEx, you’re down to about $50 million left, but then you’re going to add some free cash flow, from Canwest which is immediately accretive as you say. So that remaining amount, is that when we should of as is available for share buybacks over the next year or more dividend increases likely with that or did you just did on that extra cash?
Steve Wilson: Well, there’s a lot of numbers in. But basically the $550 million, yes, $200 million are for the wireless build, takes you down to $350 million. And then as I say, we’re not providing guidance on Canwest today, I think at lot of you looked at the Canwest results and you can kind of generally understand just how accretive they are going to be. And so we’re still going to be close this year given that we had discussion at the Board meeting and the half are going to defer a dividend decision until the second quarter of the year. But this is the sort of pinch point maximum investment in wireless that will be growth from the core businesses and with Canwest coming on strong as we expected to, there is certainly great medium-term prospects for dividend increases here.
Vince Valentini: Okay, that’s fair. And one last one I have, cable CapEx, there’s been a few questions on declining growth in cable and the competitive environment. I’m not sure it’s declining that much. But if it does decline overtime, can you give us some sense of how much lower CapEx can grow, and you’re still spending it around 20% intensity, well above what some of the big guys in the US are spending. I mean these are potentials for significant declines from current rates down to 14%, 15% intensity, if growth really does slowdown a lot more?
Steve Wilson: I’m not sure. Maybe some of the US players is doing at that level, but up here that will be a very low level of CapEx intensity. Part of the reasons to the free cash flow number for this year is that we do expect core CapEx in cable and satellites to decrease at fair pace for this year and that’s helping the free cash flow. In fact, there will still be build out requirements through the Internet capacity, there is some facilities still we need to do. So there is still things in CapEx over the next couple of years. Getting down that level of CapEx everyone sees that in the near future.
Vince Valentini: Okay, thank you very much.
Steve Wilson: Doesn’t the Internet stuff double along through data transfers every year, no.
Operator: Thank you. Your next question comes from Glen Campbell of Bank of America Merrill Lynch. Please go ahead.
Glen Campbell: Yes, thanks very much. I have a question for Brad. Looking at the subscriber numbers, you did certainly better than consensus, you managed to keep cable growth positive this year. Looking ahead, I mean, how do you see the trade-off between wanting to continue to grow subscribers only because of ARPU in terms of the way you want to approach the market. Is there a point in which you’d rather let subscribers go negative and hold the line on pricing. How are you thinking about that?
Brad Shaw: Yes, that’s a good question. There’s – it’s a moving target as Telus has come at us through the summer here in stuff, we’re constantly balancing the need for financial and as you say ARPU returning with customer growth. And as I sit with the guys, if you have a triple play customer come through and giving you $150, you’re going to lose him or you’re going to give him a break or give him an offer that you can save them. So we’re constantly looking at the type of customers moving across what we need to do. But there’s definitely things that you can’t go too far, you can’t give up too much. And so we’re going to continue to find that balance and continue to work on that. But we believe we can balance both and we believe we can still have a good financial return and ARPU growth along with some customer growth.
Glen Campbell: Okay, thanks very much. And I had a couple of a numbers questions by a way of follow-up. First, you’ve laid out the spend so far on wireless including interest in operating expense. Could you clarify whether those items were capitalized or expensed? And then, going forward, once you launch service, would you expect to be amortizing your spectrum investment or not? And then finally, on the rate hike, you mentioned that it's a little more complicated than just a couple of backs per sub. I was wondering if you could give us a sense of how to model the impact of your September 1 rate hike? Thanks.
Steve Wilson: Well, Glen back to your first question, the $200 million will be capitalized, and we expect to have $20 million interest expense attributable to wireless in 2011. Your second question was –
Glen Campbell: The spectrum investment itself, once you go into operation, would you expect to amortize that spectrum investment as some players or not?
Steve Wilson: We’re still looking at that and haven’t concluded on it yet.
Glen Campbell: Okay, thanks. And then the – how to think about the rate hikes from September 1 in terms of modeling them?
Brad Shaw: The – I think you’re right in terms of not being able to take a pure rate card approach At the same time as we’ve adjusted our pricing strategy, we’ve certainly launched a new triple play bundles that are certainly create great long-term value and financially healthy for us, but you can’t really necessarily add up all of the individual pieces. You are doing the math and the rate increases for September went very well. We did a $1 rate increase on paycheck, $1 on our discretionary TV packages that are really anchored, but TV packages have included Tier 3, and $2 for Internet, and I think we’ve had a good response and certainly within historical rounds to the rate increase. That had been said, the cautionary note is we continue to bundle triple play services in the long-term bundles and it’s hard to take the pluses without some of the minus as you add up your rate card.
Glen Campbell: Okay. Would you – could you give us a percentage on that as a blended figure on that?
Steve Wilson: No, I think what we’re seeing is just – be careful that you don’t plug all that, it might scratch that all flow through. There is a component of it which is related to bundling just out. And we’re spreading things out a little more. Strategically these days and then in the old days, it was straight, basic cable increases. So take a little haircut off that.
Glen Campbell: Okay, excellent. Thanks very much.
Brad Shaw: That’s the large intestine phenomenon.
Operator: Thank you. Your next question comes from Jonathan Allen of RBC Capital Markets. Please go ahead.
Jonathan Allen: Thanks very much. First, congratulations, Brad, and Jim I hope you’ll come back and join us for the occasional conference call to keep things lively.
Brad Shaw: We’ll make sure he comes back.
Jonathan Allen: I just wanted to ask one or two quick follow-up questions. Earlier, there was a question about programming cost and instead of looking at it in dollar values, can you give us any sense of what sort of percentage growth or pressure you’re seeing, about 1 CTV – or sorry, when Bell announced the CTV, you were saying about costs were inflating above 10% per year and I think it’s a little bit higher than the US run rate. I was just wondering where it’ll be for you?
Brad Shaw: Some of them are still in negotiations.
Mike D`Avella: Yes, we’re still – we’re still in the negotiation phases with one of the most significant providers at this point with sports providers.
Jonathan Allen: But if you looked back over the last couple of years, could you give us a ballpark on that?
Mike D`Avella: Not really.
Jonathan Allen: Okay. Okay, one other clarification as well, for the rate hike on September 1st, can you remind us when the last one was done? Was it the same time last year?
Brad Shaw: Yes, we’ve done some price tweaking throughout the year both on some of our HD specialty packages and with bundles throughout the year. But it would generally be neutral both in September 1st to September 1st.
Jonathan Allen: Okay. And last question, just on enterprise telecom, it lasted a while I guess. Rogers has bought a couple businesses, Blink Communications and Atria. Cogeco has their data services group and Videotron has telecom business as well. I was just wondering if Shaw has any aspirations of getting it to the enterprise business. And I guess maybe would you ever consider something like the Allstream? I hear laughing in the background.
Brad Shaw: I didn’t know what to say, no to first. That’s interesting. You’re never going to say no to no. But certainly from we’re just not in a – we see small medium business is a real focus for us and real attention and how it expands from there. We have a Shaw Business Solutions which is fiber based and tend to be a little bit more in the medium, maybe a little bit bigger. Right now there is – we feel plenty of opportunity, that’s our main focus right now for the next short while and not really will be interested in Allstream at this point.
Jonathan Allen: Okay, thanks very much, and congratulations.
Brad Shaw: Thanks Jonathan.
Operator: Thank you. Your next question comes from Greg MacDonald of National Bank Financial. Please go ahead.
Greg MacDonald: Thanks. And let me also say Brad congrats on the new job.
Brad Shaw: Thank you.
Greg MacDonald: I’m going to ask the question on the guidance language and I would love to know what – what you’ve declined in modestly in that description, I’m sure you’re not going to tell me. But it sounds to me like –
Brad Shaw: Okay.
Greg MacDonald: Well, alternatively, maybe it was a scheme, I don’t know. I’ve never gotten success – I’ve never successfully gotten you to define guidance. Looking at the two levers that you talked about competitive pressures and programming cost, I’m getting the sense certainly looking at the results, in fact competitive pressures are the bigger issue there. There has been a lot of questions asked on this, I acknowledge. But the one that I really wonder about is when you’re in the market like the cable overall has been and certainly in Canada where you had a lot of pricing power for multiple years and all of a sudden you’re starting to get a lot more competition and there’s been a lot of promotional pricing. Can you describe whether your existing customers that have – that have been with you a while are reacting to the promotional activity in the market and coming back and saying, “Hey, I would like that too.” I’m trying to get a sense of what risk the pricing is on your base as more promotional activity becomes a bigger part of the selling cycle?
Brad Shaw: Well, let me say generally that we spend a lot of time speaking about these guys. And there are others out there who give ranges of for example 48% is one case, another case is 306% for EBTIDA. We don’t think a range approach is necessarily that useful, because it puts a lower floor on, which is you can still see you’ve hit the lower floor, and that’s pretty not the way we operate. So by saying modestly we’re saying that it maybe a couple of points off that, but it’s not going to be something like 4% or some very little number. And we’ll see how it develops. What I think is important to understand though is as we said don’t read too much into the Q4 stuff, because it was specific to the on-demand and a period of heavier promotional activity which has been settled down. And one of the things that’s important to understand for 2011 is that we do have some lump programming cost in 2011. So we’ve talked about sports and we’ve talked about TSN and the sports generally. And so we’ve got some lumpy things that are flowing through here which are as important in terms of their impact of the results of the competitive pressures. So I would not put competitive pressure as sort of the number one factor, I would say the two are sort of balancing out here as being challenges that we need to overcome.
Greg MacDonald: Okay. And then just a quick follow-on in that. I mean you kind of commented on this since the September 1st rate hike has gone through. I get the sense that there’s not anything alarming on the churn front. Can you confirm that that you are not seeing greater churn than historically when rate increases –?
Peter Bissonnette: No, we’re not seeing greater rate increase related churn in the marketplace. And I think to your comments a couple of – a couple of things on growth. One is – is for sure the promotional activity that you see in quarterly calls tend to lag a quarter or two and so you’re foreseeing results – promotional activity in the spring reflected in summer revenue results. And as we’ve indicated to you I think we’re in a much better place, much better place in October than we were certainly in March and April. The other piece of the pricing strategy that we haven’t sort of spoken too much today is Brad certainly alluded to the big opportunity on the business side, but beyond that, we’re really changing the way we offer package Internet from packaging based on fee to packaging that allow our customers to choose the right blend of speed. And certainly as we go forward, we don’t see the Internet business is maturing, but kind of evolving from subscriber growth based on speed and revenue growth based on data. And we see a big opportunity for our business there.
Greg MacDonald: And that’s helpful, thanks. And one – just final question for Steve. This might have been indicated somewhere else I apologize it has. Is it the company’s knew that it will immediately refinance the $815 million of CW Media debt? Certainly you can pick up a nice arbitrage opportunity there.
Steve Wilson: Yes, that’s in there. So the – the 8.7% of $400 million term loan that CW Media Group has will be refinanced on closing. And so we expect substantial interest savings on that. And as we put in place $1 billion liquidity facility, that’s our base facility we put in an additional $500 million liquidity facility to be able to that and to also give us an adequate operating liquidity.
Greg MacDonald: Thank you very much guys.
Operator: Thank you. Your next question comes from Rob Goff of NCP. Please go ahead.
Rob Goff: Thank you very much. I extend the congratulations on the changes today guys. The first question will be on the wireless. You’ve addressed some of the advancements that you’ve done external to the company into the hardware and the infrastructure. But can you also talk what you’ve done – talk to what you’ve done in the systems and the billing systems?
Mike D`Avella: Well, it’s all part of the same bucket. So when we talk about infrastructure, we talk about our core networks, back office systems, it’s all part of the same bucket, everything is moving in tandem here. We’re doing things at the same time so.
Rob Goff: Okay. And then switching to your progress in this ME marketplace, can you address the changes you’re seeing from the service offerings and the customer traction and what impact the Docs of 2.0 and the Integrated Wi-Fi modems have had in the marketplace?
Brad Shaw: Yes, sure. I think we’re having success. For sure, we’re having success in both ends of the marketplace, Shaw Business Solutions continues to compete well with fiber-based solutions and GRIs and are seeing very nice, very nice customer growth. We see some opportunity in the voice play in that play. As we go to the cable based products, we’ve really done a great job of maximizing the opportunity with the smallest of businesses, almost a micro business situations, single line of replacement, and growth on the Internet side. The opportunity for us over the next 18 months is to really deliver on that huge opportunity that exist between those two spaces and anchored in both voice and data. And so we’re really just at the beginning of taking advantage of our opportunity.
Rob Goff: Thanks. And good luck with ruling leadership.
Brad Shaw: Thank you.
Operator: Thank you. Your next question comes from Phillip Huang of UBS. Please go ahead.
Phillip Huang: Actually my questions have already been answered. Thanks for taking and congrats for Jim and Brad on dawning the new roles.
Brad Shaw: Thanks.
Jim Shaw: Thanks.
Operator: Thank you. Your next question comes from Maher Yaghi of Desjardin Securities. Please go ahead.
Maher Yaghi: Yes, thank you for taking my questions. Just wanted to zero-in on a metric I’m trying to get some understanding on in terms of your standalone high-speed Internet addition. In previous quarters, you’ve had very high success in your telephony and – but the high-speed Internet net adds were generally not moving that much and so being positive. This quarter they had a decline up to 11,000. I was trying to understand what’s really happened to drive that decline? Is it mainly customers who had only Internet with you guys switching back to Telus or something else happened that explained that number?
Brad Shaw: Yes, I think there’s a couple of moments. To be clear, you’re talking about the Internet standalone.
Maher Yaghi: Internet standalone, yes.
Brad Shaw: Yes, right, the – so if you look at that base traditionally which was always existed for us, those were customers that received – at one point 75% of those customers got their TV service from ExpressView, their Internet service from Shaw, and their home service from Telus. And clearly the environment has changed dramatically towards a single network in the home and triple play. And so absolutely that base is under attack from all sides including from us. And we certainly had great success and bring that base through adding phones and TV to the base. And for sure that base is coming under full attack from the other places with their customers. And so I think you’ve seen a mix of certainly some competitive losses, because with the nature of bundling pricing, there’s not the same value as a standalone customer is going to be offered bundle and then by the same [inaudible] good stuff on our side in converting Internet standalone into double and triple play.
Maher Yaghi: Okay, thanks for that explanation. And can I just make a follow-up on that. I mean correct me if I’m wrong. But high speeds usually have very high gross margin, what are your assumed guidance – when you’re talking about the $550 million, are you assuming that continued losses on standalone Internet clients or do you think you figured it out a way to stand that decline for 2011?
Brad Shaw: And to be clear, those standalone Internet customers may – probably the majority of them are still Internet customer of Shaw, they’re just not standalone anymore.
Mike D`Avella: They have another product.
Brad Shaw: We’ve just converted them.
Mike D`Avella: We’ve up sold them I think to be clear.
Brad Shaw: Correct. It is a portion of that.
Maher Yaghi: But there was a portion that you lost. Because in previous quarters, you didn’t have these big declines while you still had those increases in cable and telephony.
Brad Shaw: Yes. No, we certainly understand your point of view and it’s not wrong and the single-play customers are absolutely the most exposed customers competitively for us and for the other guys too. I mean we can take their single play customers absolutely the easiest, right?
Mike D`Avella: That’s why we bundle.
Brad Shaw: Yes, exactly, it is a bundle approach.
Maher Yaghi: So you figure it – in your guidance you assume that this trend will continue?
Brad Shaw: I –
Maher Yaghi: Maybe if I switch off a different topic, just a final question on IFRS. I understand some of your Telco competitors and cable competitors will announce the IFRS implications when they announce their Q3 results. Have you made any kind of quick review of your financials to see if IFRS will have a large impact on your reporting?
Steve Wilson: No, it’s not going to have a large impacts to our reporting, and we can provide more details later. But there are certainly elements like borrowing costs, which will have to be capitalized now. On the employee benefits side, there's actuarial losses I think everybody will elect to treat it certain way and everybody I think is being consistent in that. And then the only other one that's major is simply for an accounting thing in that you used to actually depreciate intangible assets like licenses and then that stopped, so you had to go back and reinstate what you previously depreciate. So these are all really just accounting things and there’s nothing that we expect that's going to be significantly different in terms of reported results.
Maher Yaghi: Okay, thank you very much.
Operator: Thank you. Your next question comes from Dvai Ghose of Canaccord Genuity. Please go ahead.
Dvai Ghose: Yes, thanks very much. Let my add my congratulations to Jim and Brad. And Jim, it's been a little over 12 years. I'm sure the CRTC is very happy that you will still be involved with regulatory. So, here's my question. So first of all, if I look at your guidance, now I appreciate all the reasons why Q4 may have been unusually weak, but you did about 7.5% revenue growth, which I assume organically is near a 5.5% if you exclude the Mountain Cablevision, and your margins have been flat for really since mid-2008. So you’re talking about some improvements next year versus this. And your main issue seems to be that promotional pricing will be less of an issue next year than this. But what gives you the confidence? I mean you raped and pillaged Telus's and MTS's and SaskTel's telephony bases with lower pricing. Why wouldn't they keep doing that to you on the TV side?
Brad Shaw: Well, I don't think first of all, you can characterize our pricing in the telephone side as being raping and pillaging. I think it’s been actually very disciplined.
Dvai Ghose: Well, I didn't say the pricing. I said that your impact.
Jim Shaw: Yes, I’d say – Brad he probably has got to be able to chime in, but I would say that they’ve been more undisciplined and pricing than we have. And only when it takes you two years before you can even tell a subscriber number out of them and we're pretty well full disclosure, and I would say they have been the ones that have been kind of raping and pillaging, and we’ve been the ones that have been accountable and more disciplined in the markets than them.
Brad Shaw: And also remember Dvai that you’re going to have new offers and other offers that you’re trying and testing and moving as things the whole market is changing. Some will have more success than others, and that’s going to be reflected.
Dvai Ghose: Yes, I guess my only point is that Telcos don't seem to view TV as being an immediate profitability pool, but more of a strategic thing in terms of trying to get symmetry by taking away your TV customers because you take away their voice customers. So I'm not at all clear why they wouldn't continue to proportionately price. And I completely agree with you, Jim, they have had aggressive promotions on the TV side. My question is why would it stop?
Brad Shaw: Well, I’m not sure, I don’t think it will. I think you’re going to come quarter-by-quarter, everyone wants it continue to grow and you’re going to see that. It’s a matter of – I’m not sure what Telus is doing, we’re not around their table what they’re doing. We react to the market in what’s going on and we respond in that way.
Jim Shaw: And don't you think, Brad, that hopefully down the road, that with financial prudence and them having subscriber shareholders too that they don't have to one day say we have to have a return on this investment. So promotional, really heavy promotional discounts are charge and provide that and has the margin too.
Steve Wilson: I think Dvai made a good point that the profitable of TV for them is certainly not it is for us in phone. So a return to a more rational environment makes a lot of sense. And one of the things about Telus is that they are a very financially disciplined company. And so we respect them as a competitor, but we also know that they understand the importance of balance and we are trying to balance, and the importance of financial return.
Dvai Ghose: Fair enough. Second question on guidance has really to do with CapEx. Now I understand the assumption is as cable matures, the CapEx goes down. That hasn't been the case with wireline telecom. And I guess my question here is, if you ask the Telcos to play devil's advocate, they will say they've got a better IPTV product than your cable because it's switch video, they've got media gateways which will allow you to program your PVRs with wireless, one PVR for the whole home, MPEG-4 encoders in their boxes, and that perhaps you would have to spend a fair bit to play catch-up. How would you react to that?
Brad Shaw: Peter and I were jumping in with the same answer. I think that second question answers the first Dvai, which is I think you see a both sides saying that we’re going to compete on the customer experience and with our technology roadmap which is fully funding in our capital plan, we’re going to continue to be the leader in our marketplace in terms of delivering customer experience. And I understand the feature list that you just rattled off. We’re in good shape in terms of those features, and beyond that, our roadmap really focuses on a leapfrog approach from a customer experience side. So if it’s a battle for customer experience which is absolutely the battle we want to have that’s awesome.
Dvai Ghose: Great. And then last one is really quick and factual. You obviously did very well on the SMB side. Can you tell us how many VoIP as well as Internet adds you've got on that side?
Brad Shaw: We don’t have the number right in front of you. It’s somewhere to previous quarter’s slight.
Dvai Ghose: So sort of 10K VoIP add sort of thing?
Brad Shaw: Yes, there might be just a hair over that, but it’s just a hair over that.
Dvai Ghose: Great. Thanks very much and congratulations on the management changes. Cheers.
Brad Shaw: Thank you.
Operator: Thank you. Your next question comes from David Gober of Morgan Stanley. Please go ahead.
David Gober: Thanks for taking the questions, guys. Just a couple on wireless. And in particular, just curious what you have taken away from the early launches of new competitors, including Videotron and Wind, and how that's kind of influenced your build activity? And obviously the CapEx spend that you guys are guiding to for fiscal 2011 is robust and clearly indicative of a robust network. But also curious what the consumer offering is going to look like and how the negotiations of handset providers and things like that are going so far?
Mike D'Avella: The – what we’ve taken away from the Videotron margin in particular is that the importance of having a complete very robust network is certainly the way to go, and we‘ve always believe that was the case. And certainly we’re on that track to build a network with excellent coverage and excellent capacity. And we’re designing it in such a array that we will have one of the most robust and probably one of the most robust and probably one of the most capable networks when we're ready to go. We are very, very encouraged about what we see on the handset side, the AWS handset ecosystem is very healthy. Lot of devices are coming. Videotron has proven that there’s a lot of leading edge certainly with android-based devices. They've got the Nexus One phone which we understand they've sold out fairly quickly. So we’re very encouraged on that front as well.
Brad Shaw: And we’re also encouraged in terms of the way that their customers were able to actually access these products through Internet, retail.
Mike D'Avella: Absolutely.
David Gober: I guess that's another question I had for you. Any sense of what your retail strategy is going to be in terms of partnerships or anything to that extent?
Jim Shaw: One of the things that I would add though is that all the near incumbents not Shaw and not – certainly not Videotron start off with a base of customers that’s very, very large. And so we already have a relationship with our customers. So with us, it’s 3.4 or something million. So we already have that. Videotron is like 1.8 million. And so we already have a relationship, so that will allow Jay and his team [inaudible] to those customers and take advantage of that and make it a total Shaw.
Brad Shaw: Yes. And just to add to that David, we’ve realized the importance of retail and importance of retail and wireless, and so our plans will be addressing that.
David Gober: Great. Thank you very much.
Operator: Thank you.
Brad Shaw: Thank you, operator.
Operator: There are no further questions at this time. I’d like to turn the conference over to Mr. Jim Shaw.
Brad Shaw: Thank you, operator. Thanks to everyone.
Jim Shaw: Thanks, bye. See you next quarter.
Operator: Ladies and gentlemen, this does concludes the conference call for today. You may now disconnect your line and have a great day. 